Operator: Good morning, and thank you all for attending the IAA, Inc. Q1 2022 Earnings Call. My name is Sam, and I will be your moderator for today's call. . This time, I'd like to turn the call over to our host, Arif Ahmed, Vice President of Treasury. Arif?
Arif Ahmed: Thanks, Sam. Good morning, everyone, and thanks for joining us today for IAA's First Quarter Fiscal '22 Earnings Conference Call. Speaking today are John Kett, Chief Executive Officer and President; and Susan Healy, our Chief Financial Officer. After John and Susan have made their formal remarks, we will open the call to questions.  Before we begin, I would like to remind you that certain comments made during this call regarding our plans, strategies and goals and our anticipated financial performance constitute forward-looking statements and are made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995.  Such forward-looking statements are based on management's current assumptions and expectations and are subject to risks and uncertainties that could cause actual results to differ materially from such statements.  Those important factors are referred to in IAA's press release issued today and in the Risk Factors section included in our annual report on Form 10-K for the year ended January 2, 2022, filed with the SEC on February 28, 2022. The forward-looking statements made today are as of the date of this call, and IAA does not undertake any obligation to update these forward-looking statements.  Finally, the speakers will refer to certain adjusted or non-GAAP financial measures on this call. A reconciliation schedule of the non-GAAP financial measures to the most directly comparable GAAP measures is available in IAA's press release issued today. A copy of today's press release may be obtained by visiting the Investor Relations page of the website at www.iaai.com.  I will now turn the call over to John. John?
John Kett: Thank you, Arif. Good morning. Thank you all for joining us for our first quarter earnings call. Today, I'm going to both provide some highlights from our first quarter performance and review our continued progress against our strategic initiatives and then turn the call over to Susan to discuss our financial performance and outlook in more detail.  We were pleased with the solid first quarter performance, reflecting both the progress that we've made against our strategic initiatives and continued industry tailwinds. Organic revenue in the quarter was up approximately 20% with the corresponding growth in adjusted EBITDA of 7.4%. At a macro level, used car pricing remains at elevated levels despite the recent slight decline.  This provides a favorable backdrop for continued revenue per unit strength. We've also seen claim frequency increase as a result of the higher levels of driving and miles driven and other factors, and this acts as an offset to the decline that we've seen in the total industry -- our total loss ratio.  I also want to stress the resiliency of our business and the strength of our operating model, regardless of the economic environment. Looking back to 2008, '09, despite a very weak global economy, we continued to grow and performed extremely well. In addition to our confidence in the overall industry dynamics, we have continued to see the benefits from and the growth in IAA strategic initiatives and our leadership position in innovation.  Our digital marketplace powered by deep data analytics and unique vehicle merchandising capabilities provides enormous benefits to both our selling and buying customers. And I'll expand on these items in just a few minutes. But let me start by providing some more detailed updates on several key priorities.  Beginning with our progress on M&A and international expansion. As you will recall, in the fourth quarter of '21, we announced the acquisition of SYNETIQ. We have since obtained full clearance from the U.K. Competition and Markets Authority, and we're moving forward with integrating the 2 businesses, which is proceeding well.  As we've noted in the past, the goal of this transaction was to create a growth platform in the U.K. with IAA state-of-the-art auction platform combined with SYNETIQ's capability in parts and dismantling to expand our product offering and provide another option to maximize proceeds for customers.  We now over 25 locations across the country enabling us to better serve our customers. And though the integration is just beginning, we're already seeing examples where the combined expanded footprint is allowing us to better manage transportation for our seller customers. SYNETIQ brings to IAA a roster of strong customer relationships and a highly respected driven management team.  We now also have a unique business model focused on an integrated approach that looks to maximize financial value while minimizing the environmental impact for our customers. We believe that SYNETIQ's first-to-market focus on sustainability and the circular economy from vehicles is a true differentiator as insurance customers in the U.K. market are increasingly making sustainability a priority.  And this approach is proving to be effective in the marketplace. Since the third quarter of last year, we've secured additional volume from both new and existing customers and have entered into several new customer parts contracts. In addition to SYNETIQ, our predecessor U.K. business has also performed well over the last several quarters, including the renewal of a key customer contract.  The other part of our International segment is our market-leading Canadian business. The Canadian market has recovered more slowly from COVID-19 than in the U.S., but this quarter, we saw a nice pickup in activity. While assignments in Canada are still below 2019 levels, they increased significantly compared to the prior year, and we have secured new volume with several Canadian customers.  Also in February, we rebranded our Canadian business to the IAA global brands. This move highlights our commitment to investment, innovation and excellence in customer experience in the Canadian market and to our global buyer base.  So as a wrap-up to our M&A discussion, I will remind you of our acquisition of Auto Exchange in June of last year, which has been very successful, outperforming our initial projections. In the first 9 months of ownership, we've grown both revenue and adjusted EBITDA significantly and the business performed extremely well during Hurricane Ida providing us with a competitive advantage in New Jersey where available real estate is scarce.  Real estate capacity is 1 of our most important commitments in servicing our clients. During the quarter, we added 3 new branches to our U.S. network in Illinois, Iowa and California. And in the U.K., we secured ground for the construction of a new full-service facility in Bristol to provide critical coverage in the Southwest.  Back in the U.S., in early April, we acquired our location in the Washington, D.C. area, reflecting our continued focus on strategically investing in properties where we see a long-term benefit and attractive return on capital. Our supply-side customers also continue to praise the data analytics work that we're doing via our bespoke seller portals, which help them better obtain and evaluate data to maximize their proceeds.  Just this quarter, several of our customers adopted our automated predictive value tool, which has helped them to improve reserve pricing, which helps them optimize auction outcomes. We will continue to further invest in, expand and strengthen our digital marketplace through data analytics. With better data, our selling customers are making more informed decisions regarding their assets resulting in higher net recoveries.  Our buying customers benefit from an improved experience, allowing them to research and efficiently find the vehicles they need and to bid confidently. We continue to have a very positive and effective collaboration with both existing customers and prospects and are encouraged to see the additional opportunities ahead for product and service pilots as well as additional digital integrations.  So speaking of products and services, we continue to have success with and further enhance both the buyer and seller experience, helping to grow our revenue. We continue to expand loan payoffs, processing approximately $560 million of transaction value through our portal in the first quarter, a 75% increase over the first quarter of last year. Adoption by both financial institutions and insurance companies continues to grow.  On the demand side, IAA Transport, which we launched last year to assist buyers in sourcing and scheduling the transport of their vehicles has been a great success. We've tripled our volume of transactions relative to the first quarter of last year, and we've increased our gross margin by nearly 360 basis points.  And one more important offering is our continued expansion of a number of floor plan financing companies that we work with to provide additional purchasing power and flexibility to our buyers. So in addition to strengthening our buyers' experience through expanded or enhanced services, we're also continuing to expand our overall network of international buyers, which grew by nearly 10% year-over-year.  Our market alliance network now includes 50 locations across 20 countries. This includes the addition of auction centers in both Ghana and El Salvador in the first quarter. Not only do these new centers address the needs of the growing buyer bases in these strategic markets, but we also tend to sell higher-value vehicles to international buyers.  Given the situation in the Ukraine, I did want to note that while we do have buyers in Russia, Ukraine and other Eastern European countries, network disruption in 1 part of the world does not have a material impact given the diversity of our global buyer base. To give you some sense of this, in 2021, Russia and Ukraine together accounted for less than 1% of consolidated volume and even when you added buyers from the other nearby Eastern European countries, the number is still below 2%. And our units sold to international buyers as a percentage of the total remains above last year's levels.  We also continue to focus on improving overall customer experience. Our demand-side NPS score continues to improve, and we have now leveraged that framework and implemented an improved CX discipline across our entire organization. This will provide all customers both on the demand and the supply side with a consistent industry-leading level of service.  The improvement in NPS was driven by seeking feedback across vehicle search, payment, digital experience and branch experience. And 1 recent example of the results of this feedback was the release in the first quarter of several new modifications to our buyer search capability.  This feedback also led the release of an updated version of our buyer recommendation engine. Using data analytics, combined with buyer feedback, we've significantly increased the accuracy of our buyer recommendations much to the praise of our demand side market, who appreciate their approved ability to quickly find vehicles to bid on and to buy.  We will continue to be extremely responsive and innovative in order to meet our customer's evolving needs. So how does all this progress in these initiatives show up in our results? First, the continued growth of our market alliance network, the further expansion of our international buyer base, leveraging data and the benefits from addressing the feedback that we receive from our buyers all contributed to a strong and competitive online marketplace, and this results in better outcomes for our sellers and increased revenue per unit.  The second important impact of our progress and success around innovation, data analytics, buyer development, real estate expansion and additional products and services can be seen in the growth of our market position among provider customers.  In the first quarter, we expanded our relationship with a top 25 insurer and secured new and renewed agreements with several regional carriers, including the largest customer from our auto exchange acquisition. And in regard to the 1 customer that we've talked about extensively over the last several calls, our share position remains stable, and we continue to have productive dialogue with that customer.  So as evidence of the success, our U.S. volume grew 12% in the first quarter of 2022 versus the first quarter of last year. This excludes the loss from that 1 top customer and the extra units that we received from Hurricane Ida.  So switching now to talk about the cost side of our business, like most companies, we do continue to experience inflationary cost pressures, primarily in towing and branch labor. On the towing side, we started to see towing rates stabilize although the higher price of fuel resulted in surcharges beginning in certain markets in late Q1.  We remained focused on route optimization and improving tour utilization to offset higher rates. We've also seen increases in the cost of branch labor, although rates have stabilized over the last few weeks. We did implement a service fee increase for our buyers in February, which has also helped to offset the cost increases we're experiencing. And Susan, of course, will provide some more detail on costs in her remarks.  So I'd like to now provide an update on the letter we received from a shareholder requesting that we take certain actions. As a public company, we have regular dialogue with our shareholders, and we're always interested in the constructive feedback that they offer.  Through a very open and productive set of discussions with this particular shareholder, we arrived at a mutually beneficial outcome. As noted in our press release, we are excited that Mike Sieger will be joining our Board of Directors. Mike is a recently retired executive who spent over 30 years on the claims side of the insurance industry, and we're thrilled to have someone with his deep industry knowledge to join our Board.  In addition, our Board is forming an operations committee focused on enhancing our overall performance. So I'll briefly touch on our guidance now, and then Susan will provide more details. Based on year-to-date results and our assumptions for the remainder of the year, we now expect revenue of $2.0 billion to $2.1 billion and adjusted EBITDA in the range of $535 million to $575 million.  I want to sincerely thank our employees for their hard work, dedication and customer focus. I'm very proud to announce that we have again been selected as a great place to work now for the fourth year in a row. Our success as a company is a result of our people and their execution.  So before I hand it over to Susan, I would like to underscore the strong nature of the IAA business. The same macro factors that have driven industry growth, increased vehicle complexity, higher repair costs, and higher proceeds from a global buyer base should continue over the long term.  We have built a differentiated marketplace with unique digital capabilities and continue to create additional products and services that deliver value to our buyers and sellers. We are focused on driving our global business and growing our long-term profitability in this ever-evolving market environment.  And with that, I'll turn the call over to Susan to review our financial performance and expand on our 2022 guidance. Susan?
Susan Healy: Thanks, John. I will focus my discussion today on our adjusted non-GAAP results and touch on some key highlights. Please see today's press release for more details on our financial performance and our methodology when calculating non-GAAP results. Turning to our first quarter results. Consolidated revenues increased 31.7% year-over-year to $557.6 million, including $47.7 million from the acquisition of SYNETIQ.  Organic consolidated revenue, which excludes the impact of foreign currency and revenue from the Auto Exchange and SYNETIQ acquisitions, increased 20.2% to $508.9 million due to an increase in ARPU of 15.1% and a volume increase of 4.4%. Service revenue increased by 20.7%, while vehicle and parts sales increased by 94.3%.  Purchased vehicle and parts sales accounted for 22% of total revenue in the quarter compared to 15% in the prior year period, primarily due to the acquisition of SYNETIQ. The strong ARPU growth came from the increased mix of purchased vehicles, the strong backdrop for used car prices and the impact of internal initiatives, including an increase in our buyer services fee.  Regarding used car prices, the Manheim Index was up approximately 25% at the end of March 2022 versus last March. In April of 2022, this index declined by 1% sequentially compared to March, but is still up 14% versus April 2021. Volume growth occurred due to a continued recovery in miles driven in both the U.S. and Canada, which drives the frequency of claims.  The addition of SYNETIQ and the market share gain, John mentioned, partially offset by the loss of volume from the 1 customer we have discussed. The U.S. industry total loss ratio declined from -- declined to 18% from 20.6% in the prior year first quarter.  As we have noted, elevated used car pricing benefits us through higher proceeds at auction and therefore, higher ARPU but it also factors into the decision to repair a vehicle versus designating at a total loss, which impacts volume. Over the long term, we believe that industry factors such as increased vehicle complexity, higher repair costs, and the enhanced returns from our global marketplace supported an increase in the volume of total loss vehicles.  With respect to the correlation between ARPU and average selling price, it's important to understand that this relationship is not linear. Some components of our fee structure, such as the seller fee and buyer services fee are largely fixed and other components vary with price on a step-function basis.  Therefore, as average selling prices move, ARPU moves to a lesser degree, both up and down. We have seen this effect as average selling prices have increased, and we would expect to see a similar impact when average selling prices softened. We also look to our internal initiatives such as fees from value-added services, building a global buyer base and enhanced seller data analytics to continue to support higher average selling prices and revenue per unit.  Switching now to gross profit. Gross profit increased 16.5% to $201.2 million. Gross margin was 36.1% compared to 40.8% in the prior year. Of the 470 basis point year-over-year decrease in gross margin, 190 basis points came from an increase in the purchased vehicle mix for which revenues and expenses are accounted for on a gross basis compared to a net basis for our consignment business. The impact from selling vehicles we obtained during Hurricane Ida accounted for an additional 40 basis points of the decline.  The remaining impact came from higher costs in towing, labor and occupancy, partially offset by the improvement in ARPU. Excluding the cost of purchased vehicle sales, towing is the largest component of our cost of goods sold. Higher toe costs are a function of constrained supply in certain markets as well as the impact of overall inflation.  Towards the end of the quarter, we began to incur higher costs from the higher price of diesel fuel, which is passed through as a surcharge under many of our towing contracts. We are also experiencing the impact of constrained market supply and higher wage rates and labor costs.  Partially offsetting these inflationary cost pressures was the impact of higher revenue per unit, including the buyer services fee increase we implemented in the quarter. SG&A expenses increased by 25.1% to $54.3 million. Adjusted SG&A expenses were $51.5 million, an increase of 30.7% compared to the prior year due mainly to higher head count, higher IT spend and the inclusion of auto exchange and SYNETIQ. Adjusted SG&A for SYNETIQ for the quarter was approximately $1.7 million.  Adjusted EBITDA increased by 12.5% to $149.8 million. Excluding the impact of foreign currency as well as the acquisitions of Auto Exchange and SYNETIQ, organic adjusted EBITDA increased by 7.4%. Interest expense declined to $11.2 million compared to $13 million in the first quarter last year. The decline was primarily driven by a lower applicable interest rate versus last year.  The interest rate on our term loan and revolver is currently 2.26%. The effective tax rate was 24.5% versus 25.2% in the first quarter last year. The lower rate is primarily due to a greater amount of pretax income from the U.K., which has a lower effective tax rate than the U.S. and Canada.  Net income increased to $81.5 million from $72.5 million in the prior year. Adjusted net income increased by 14.6% to $89.3 million or $0.66 per diluted share. Turning now to our cash flow and balance sheet. Capital expenditures was $30.9 million for the quarter compared to $30.3 million in the prior year. In addition, we've received approximately $37 million of proceeds in the quarter from the sale leaseback transaction we had mentioned on our Q4 call.  As John noted, after quarter end, we acquired our location in the Washington, D.C. area for approximately $18 million. During the first quarter, we spent $8.4 million to repurchase approximately 230,000 shares at a weighted average price of $36.41 per share. Through yesterday, in the current quarter, we have spent an additional $13.5 million to repurchase approximately 371,000 shares at a weighted average price of $36.34 per share.  We will continue to employ share repurchases on a selective basis as a method of returning capital to shareholders. Our balance sheet remains very strong, and we ended the quarter with total liquidity of approximately $535 million. We ended the period with a leverage ratio of 2.1x compared to 2.3x at the end of the first quarter of 2021.  Pro forma, when including the full latest 12 months of SYNETIQ, our leverage ratio would be approximately 2.0x. Net cash provided by operating activities for the quarter was $98 million, down 20% from the prior year, primarily due to a decrease in accrued expenses and payables. The decrease in payables is primarily due to the quarter ending on the third of April versus the 28th of March last year, meaning certain month end payments were made this year prior to quarter end.  Free cash flow was $104 million, up 14% from the prior year period, benefiting from the proceeds of the sale leaseback transaction. Turning now to our outlook for fiscal 2022. As a reminder, with the exception of the organic growth percentages, all figures in this outlook include the impact of currency and the Auto Exchange and SYNETIQ acquisitions.  We have updated our outlook for the year to reflect our first quarter performance and our updated view of the range of outcomes for the year which has resulted in a slight increase to the low end of the expected ranges for organic revenue growth and adjusted EBITDA.  It also reflects an updated view of the accounting for certain revenue and expense line items of SYNETIQ. These updates have no impact on our expectations for SYNETIQ's or our consolidated adjusted EBITDA.  These also include updated view of currency, given that the U.S. dollar has strengthened by approximately 9% versus the British pound since our Q4 earnings call. For fiscal 2022, we now expect total revenues of $2.0 billion to $2.1 billion, which reflects a $60 million reduction related to an accounting change for certain of SYNETIQ's revenue contracts from purchased vehicle to consignment accounting. While this results in lower revenue, it will have no impact on adjusted EBITDA. This range also includes a $13 million to $15 million headwind from currency.  Organic revenue growth of 2.5% to 7.0%. Total adjusted EBITDA of $535 million to $575 million including a negative impact from currency of $1.5 million to $2.5 million. Organic adjusted EBITDA growth of negative 7.0% to positive 1.5%. Adjusted SG&A expense of $196 million to $206 million, including approximately $9 million to $10 million of adjusted SG&A associated with SYNETIQ. We have adjusted SYNETIQ expense categories to align with IAAs, which decreases SG&A and increases cost of services but has no net impact on adjusted EBITDA. Interest expense of $51 million to $53 million, which reflects the increase in interest rates since our Q4 earnings call. An effective tax rate of 24% to 25% and depreciation and amortization of $105 million to $110 million.  As it relates to the expected quarterly cadence of our revenue and adjusted EBITDA this year, I'd like to note the following: we expect that Q1 is our highest quarter for both revenue and adjusted EBITDA for the year. Given our previously discussed volume and ARPU expectation, revenue and EBITDA are both expected to decline sequentially in Q2 and Q3 before increasing in Q4, although not the level of Q1.  Overall revenue and adjusted EBITDA are both expected to be higher in the first half of the year than the back half. Adjusted EBITDA margin is expected to show the greatest deleverage versus 2021 in the second quarter with an improving trend in Q3 and Q4.  With that, we'll open the call to questions. Operator?
Operator: . Our first question comes from the line of Daniel Imbro of Stephens.
Daniel Imbro: Susan, thank you for all the detailed guidance. That was a really helpful being in there. John, I want to start on a bit of a higher-level question. Investors are focused on kind of a pullback in how the business responds. And I think you mentioned back in '08, '09, you guys continue to grow.  Can you just talk about the changes in your business did you see back then? Did you see insurance companies not accept fee increases? Did the business get more challenged in different ways? And then your business has become a little bit more used cars like you're selling more cars overseas that are drivable. So is it fair that demand would be more cyclical than it was during the last downturn? Or how do you -- how would you compare your business today versus how you were in '08/'09?
John Kett: Yes. Great, Daniel. Thank you. What I would say about what happened in '08/'09 is that while recessions tend to maybe on the margin effect miles driven, it doesn't drop precipitously. And so people are still driving still getting in accidents. And then you have if there's downward pressure on used car pricing, the total loss ratio then tends to work in our favor that the vehicle values are lower, which results in more vehicles being towed.  So I think that phenomenon we saw that, and we still believe that is a part of the algorithm of how vehicles get towed. So I think that's 1 aspect of it. The internationalization of our business, I think, is that's helpful in a downturn is that we do have buyers over the world, like I talked about with what's happened in Ukraine and Eastern Europe, we do have buyers in other markets that can help absorb it.  So depending on the level of downturn in 1 market versus another, demand in 1 can help offset weakness in another. So I think that's actually a -- that's a benefit to us today relative to even what we saw back in '08 and '09.
Daniel Imbro: Got it. That's helpful. And I wanted to ask 1 on the noninsurance piece. With Car Global no longer owning ADESA, does it change your noncompete agreement at all? And specifically, thinking things like repos, cars that need 21 to 30 days for a notice of intent period, they have to be on someone's land. Could that be a growth avenue for you guys to go after now that they've sold that business?
John Kett: Yes. So since the spin, I think we've been consistent about our messaging around the vehicles that qualify under that noncomputer that royalty agreement, we continue to sell hard at that. We believe that here we are, we're 3 years into the 5 years.  We continue to service that market and the period of time remaining, obviously falls every day. So we do see growth opportunity in that market. We do sell vehicles -- repossessed vehicles today, that is part of our noninsurance mix. So we do see that as a continued opportunity and we continue to penetrate it.  In our understanding, the noncompete is still in place. It doesn't really change the conditions of it with this transaction that they've completed today. But again, we're going to continue to sell into that market because we do believe that for a lot of vehicles that are sold in the wholesale markets today, we're a much better venue for that vehicle to the benefit of our sellers. So yes, that's how we think about that.
Daniel Imbro: Great. And then a quick clarifier, if I could squeeze it in, John. You touched on IAA transport. Apologies if I missed this, but this is just you connecting buyers with transportation partners, correct? You're not actually doing the first-party transportation or are you in the market?
John Kett: No, we're not using our own equipment. We are brokering it, but it's really -- the key to IAA Transport is the simplicity that we've built into our buyer-facing portal that buyers can they can preselect before they begin buying, just check a box and then we automatically arrange delivery of it without them having to take any of their action or they can buy it on demand.  But really those -- the simplicity of that and building it into our platform really makes it easy for buyers to use it. And again, we've seen take rates far above our expectations. And we do think it is -- with the amount of vehicles that we move is an opportunity to continue to grow.
Operator: The next question is from Bob Labick of CJS Securities.
Robert Labick: Congratulations on a good start to '22.
John Kett: Thank you.
Susan Healy: Thank you.
Robert Labick: You gave us tons of detail, I'm still trying to process all of it, but thank you for -- maybe I'll start with 1 question on -- you touched on inflation. Obviously, it's not unique to IAA in this market and diesel fuel surcharges, et cetera. Talk about the process improvement program that you have going and the progress and your thoughts on pulling costs out to service cars or what it will take over the balance of the year and the back half of the year to get processing and service costs under control or lower back to prior levels?
John Kett: Yes. So I think -- and we talked -- we didn't talk about it in depth this call, but we are -- some of those inflationary cost pressures are sort of muddying the savings that we're seeing from our branch process improvements, but we continue to focus on in the labor area, focusing on automation and efficiency and really finding ways to do things with fewer labor hours, and we continue to work on that and have success.  If you think about titling still being a somewhat paper-intensive process. We've built some automation tools that are helping really drive that -- the time required and the effort to process those. That's just 1 example where we've seen some success that we're going to continue to roll out.  And then on the towing front, this optimization that we've been and continue to work on utilizing our technology and our tower app to more efficiently route so that towers are spending less fuel to help get a vehicle to us, which, again, is going to help us control costs.  Those are just a couple of examples of how we continue to focus on both those, and we expect to continue to see benefits as we go. Again, some of the cost pressures we've talked about might -- you might not see it -- it might not be as apparent in the near term, but we think longer term, the things that we're doing are really going to make us a much more efficient organization over the long haul.
Robert Labick: Okay. Great. And then, Susan, I think you mentioned quickly the impact of kind of leftover IDA expenses. Could you just expand on that and repeat that a little bit. I didn't quite catch the entire thing. And are there any more kind of holdover cars from IDA that will be material at all in Q2? Or how should we think about that?
Susan Healy: Sure, Dan. Sure, Bob. So what I mentioned in the gross margin bridge is that there was about 40 basis points of year-over-year impact in Q1 and that really comes from the fact that there's a lot higher expenses, particularly towing that are associated with Hurricane Ida.  We've called this out really for the past 2 quarters that even though catastrophes are excellent for us in terms of servicing our customers and keeping that business in the long term, it is more expensive for us to service. We recognize those expenses when we sell the cars. And so we sold the bulk of the IDA cars really got sold in Q4 some of them, like I said, to the tune of 40 basis points were sold in Q1. We have a few, but a very small impact for the rest of the year.
Operator: The next question is from the line of Ali Faghri of Guggenheim.
Ali Faghri: Can I ask about the operations committee on the Board that was recently formed. What specifically from an operations perspective, is the committee looking to improve? Maybe you can talk about the areas of operational underperformance that were identified by the Board and management that led to the formation of the committee?
John Kett: Yes. So Ali, thanks. The committee is still being formed. It was -- we just announced it in that press release. So -- but really, if you look at the public letter that we received in some of those areas that we're going to be focused on and really as the community really begins to meet and talk in depth, we'll have more to say on it. But it is still -- it's very premature at this point.
Ali Faghri: Great. I guess if I can squeeze 1 more in then. It seems like you've increased your buyer fees multiple times over the last 6 months back in September and then again in February, should we view these changes as more one-off to offset the recent inflation headwinds we've seen?  Or is that a signal that you plan to take price on a more frequent basis I guess just bigger picture question, how do you think about your pricing power and the elasticity of demand longer term?
John Kett: Yes. So I think a couple of things. One, a reminder that we can increase our ARPU through rate or through what's happening in the auction. I think Susan talked a little bit about that in her comments. But as we can grow demand and bring more buyers and actually grow the proceeds at auction.  We're going to get a natural ARPU lift. That being said, we do have a really fragmented buyer base. There is no concentration in our bar base, which does give us more flexibility when it comes to buyer pricing. And it's something we're always looking at. We have to understand the competitive marketplace, what we can charge, obviously, we want to charge for.  And also as we expand our products and services, some of our ARPU growth is going to come from things like buyer transport and some of the other services that we're offering, that is another way for us to grow our revenue. And then the final comment I'd make on it is just our data analytics and how we're looking at and understanding buyers are not ubiquitous. There's different types of buyers. They have different needs and wants. And so our ability to understand the how much elasticity there is within buyer groups is something that we're looking at as well.
Operator: Next question is from the line of Bret Jordan of Jefferies.
Bret Jordan: As you have built out the foreign buyer base and I guess, now 20 countries and could you talk about the mix of cars that you're exporting, maybe what percent are running drive? Are these people buying transportation? Or are they buying scrap metal as you've seen this in a geographic expansion?
John Kett: Yes, it's -- on average, it tends to be a higher value car. So that means drivable rebuildable and tends to be a little bit newer, just because that's the type of vehicle we're looking for. So again, speaking generally, it is about transportation. It's not so much a brown scrap metal or parts.  It really is trying to find rebuildable vehicles that they can arbitrage labor cost, in particular, in a less costly market to repair a vehicle that would be deemed total  because of the way the estimates are written. So I mean, that is how we think about it. Again, commodity prices do matter at a certain level because there's always going to be some scrap at the end of a salvage vehicle. But it really is more thinking about the run and drive and rebuildable vehicles going international.
Bret Jordan: Okay. And then a follow-up, a question on the towing labor and occupancy impact. I think, Susan called that 240 basis points in the first quarter. Could you talk about the cadence of inflation in those categories? Is it beginning to moderate? I think it was a bigger impact in the first quarter to gross margin compare year-over-year than in the fourth quarter. But maybe if you could just sort of talk about where you're seeing those buckets of costs trending now?
Susan Healy: Got it. And you're talking about the fourth quarter of 2021. So you are correct. When we think about towing in particular, which is the largest component of our cost of services, the impact that we felt in Q4 had a lot to do with Hurricane Ida and the supply constraints from the markets, particularly the impacted markets from Hurricane Ida and then some knock-on impacts in other markets where supply was sort of being stopped away to service the Ida market.  We saw that constraint in Q1 as well. And then towards the end of Q1 and something that we factored into our guidance is the -- impacted the higher fuel prices. So it's correct to say that there's a higher impact on towing in Q1 than there was in Q4. And again, this new element of fuel costs, where ever we're addressing and seeing abatement and more of an ability for us to manage the supply constraint, towing costs, the fuel prices is another element that we're now managing in part, as John said, our ability to raise service fees where it makes sense, which we did in Q1.  On the labor front, it kind of bounces around, and you probably follow more closely than I do the impact of the great resignation and the scarcity of labor. So we definitely saw that and when labor is scarce, not only is there an impact in higher wages, but then you often have to either pay more overtime or incur higher cost for temp labor.  And that's -- when John mentioned some of the branch process and efficiency improvements that we're doing, but you may not see hit the bottom line, we've improved our ability to forecast that to manage that to scale back on the temp labor. And so even though there are inflationary pressures in wages as John mentioned, we've sort of seen a bit of a slowing on that in the last couple of weeks.  Again, we don't want to predict a reversal of trend or anything crazy like that. But I think it's a combination of the market conditions and the fact that we're able to manage the challenges -- manage through the challenges better.
Operator: The next question is from Gary Prestopino of Barrington.
Gary Prestopino: Susan, I didn't get some of those metrics you gave on the expense side. What was the SG&A range for this year?
Susan Healy: The -- are you talking about the SG&A range for the full year of 2022 adjusted SG&A will be $196 million to $230 million.
Gary Prestopino: Okay. And then John, could you tell me, the addition of this new director, I would assume that this was contemplated before the Ancora letter and the meeting with the Ancora people was put in place? Or was it a function of that letter?
John Kett: So Gary, not speaking for the entire Board, but what I would tell you is that we -- as a Board, we're always looking at refreshing, looking at the right talent, making sure we've got the right people on our Board of Directors. And the timing was right to reach out and to add, Mike.
Gary Prestopino: Okay. I realize that some of these -- this might not be something you can share with us. But I mean, when you spun out, you came out with this plan to increase EBITDA over couple of years, I think it was $140 million of incremental EBITDA. With what the Ancora people are looking at, what are they citing in terms of operationally, some of the things that they would like to see done?
John Kett: Yes. I mean, Gary, I think the -- again, I'd point you back to their public letter where they made their comments there, and that was the basis for our discussions with them and how we got to the mutually beneficial outcome.
Operator: Next question is from Chris Bottiglieri of BNP Paribas.
Christopher Bottiglieri: So first what I was trying to understand is on -- first I want to understand is what's the net impact of the buyer fee increase and the higher expected towing cost? Is that like when you look at Q2 versus Q1, is that neutral? Or is the towing cost going to outweigh the fee increase?
John Kett: Yes. We don't talk specifically about the costs in terms of what it means, but the fee increase we did is it was part of our contemplation around what we're seeing in higher costs across labor and towing. It was a way to help mitigate that.  And it points to our -- that is part of our ability to manage costs, higher costs from a variety of sources. But yes, that's what I'd tell you about the fee increase.
Christopher Bottiglieri: Got you. Okay. And then can you help give us maybe a walk through of the annual EBITDA bridge from Q1 to the year. If I just kind of take your Q1 multiple times forward like 600-ish EBITDA $600 million of EBITDA versus z$550 million for the year guide. So can you maybe just maybe rank order or walk through some of the bridge items from Q1 that caused earnings to decline in Q2, Q3 before recovering.  I would imagine part of it's IDA, a part of it maybe like the timing of GEICO account share loss you previously announced? And maybe the selling stuff, but maybe just rank order in size or give us some sense for why the EBITDA is going to fall off the Q1 level would be helpful.
Susan Healy: Yes. I think you really hit on the 2 biggest impacts there. So the towing costs year-over-year, if you think about Q1, if you think about 2021 because you're thinking about deleveraging, you have to kind of think of the cadence of 2021. We didn't really start seeing the higher towing costs a little bit in Q3 and then more in Q4.  So the year-over-year impact in Q2 on towing is not only the costs we experienced in Q1, but the additional element of the fuel surcharges. So you've got that little extra kicker in towing. And then I mean the next biggest 1 is the volume impact we talked about.  So we've talked a lot about our -- the 1 customer and what we've experienced in terms of volume there. We've mentioned on our Q4 call about what we were expecting in Q1. So Q1, we largely had the volume from the share loss we mentioned and then that will be falling off starting in Q2. So I would call those really the two biggest differences between the impact in Q2 versus Q1.
Operator: That concludes our Q&A session for today. So at this time, I'd like to turn the call back over to John and the management team for closing remarks. John?
John Kett: Thank you, no. Just to wrap it up in conclusion, I do want to again reiterate the resilient nature of our business. Throughout our history, we've proven adept at both maximizing in opportunities in strong markets as well as navigating challenging economic conditions. Regardless of the economic environment, we remain fully committed to enhancing the long-term value for our shareholders. We have strong customer relationships and are focused on driving growth and profitability, both in the U.S. and in key international markets and expanding our long-term profitability, irrespective of market conditions. Thank you for joining us today, and we look forward to speaking to you next quarter.
Operator: That concludes the IAA, Inc. Q1 2022 earnings call. Thank you all again for your participation. You may now disconnect your lines.